Operator: Good morning, ladies and gentlemen, and welcome to NAPCO Security Technologies Fiscal Second Quarter 2026 Earnings Conference Call. [Operator Instructions] Also note that this call is being recorded on Monday, February 2, 2026. And I would like to turn the conference over to Francis Okoniewski, Vice President, Investor Relations. Please go ahead.
Francis Okoniewski: Thank you, [Sylvie], and good morning, everyone. This is Fran Okoniewski, Vice President of Investor Relations for NAPCO Security Technologies. Thank you all for joining today's conference call to discuss financial results for our fiscal second quarter 2026. By now, all of you should have had the opportunity to review our earnings press release discussing our quarterly results. If not, a copy of the release is available in the Investor Relations section of our website, www.napcosecurity.com. On the call today are Dick Soloway, Chairman and CEO of NAPCO Security Technologies; and Kevin Buchel, President and Chief Operating Officer; as well as Andrew Vuono, our Chief Financial Officer. Before we begin, let me take a moment to read the forward-looking statement as this presentation contains forward-looking statements that are based on current expectations, estimates, forecasts and projections of future performance based on management's judgment, beliefs, current trends and anticipated product performance. These forward-looking statements include, without limitation, statements relating to growth drivers of the company's business, such as school security products, recurring revenue services, potential market opportunities, the benefits of our reoccurring revenue products to customers and dealers, our ability to control expenses and costs and expected annual run rate for our SaaS recurring monthly revenue. Forward-looking statements invoke risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. These factors include, but are not limited to such risk factors described in our SEC filings, including our annual report on Form 10-K, Other unknown or unpredictable factors or underlying assumptions subsequently proved to be incorrect could cause actual results to differ materially from those in the forward-looking statements. Although we believe that the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, level of activity, performance or achievements. You should not place undue reliance on these forward-looking statements. All information provided in today's press release and this conference call are as of today's date, unless otherwise stated, and we undertake no duty to update such information, except as required under applicable law. I'll turn the call over to Dick in a moment. But before I do, I want to mention the schedule of investor outreach in the coming months. On February 17, we're participating in the Barclays 43rd Annual Industrial Select Conference in Miami Beach, Florida. We're also attending Citigroup's Global Industrial Tech and Mobility Conference also in Miami Beach, Florida on February 19. In March, our engagements include the Raymond James 47th Annual Institutional Investors Conference in Orlando, Florida on March 4. We will attend Cantor Fitzgerald's Global Technology and Industrials Conference in New York City, March 10 and 11. And finally, we'll cap off this busy period by attending our industry's largest trade show, ISC West, at the Venetian Expo in Las Vegas, March 23 through March 27. If anyone is interested in attending, please reach out to me, and I will arrange to get you a pass. Investor outreach is a vital part of NAPCO's strategy, and we'd like to extend our gratitude to everyone who contributes to the success of these events. With that out of the way, let me turn the call over to Dick Soloway, Chairman and CEO of NAPCO Security Technologies. Dick, the floor is yours.
Richard Soloway: Thank you, Fran. Good morning, everyone, and welcome to our conference call. We appreciate you joining us as we review our fiscal second quarter 2026 performance. Our second quarter results, which reflect record Q2 revenue is a continuation of the momentum we reported from Q1 and is evidence of our focus on long-term growth. Our strong financial results continue to be fueled by our recurring revenue model, which delivers steady growth while maintaining its substantial profitability. Our equipment revenue has shown consistent growth as our pricing and market strategies have yielded double-digit increases in equipment revenue for consecutive quarters, bolstered by our door locking as well as double-digit growth in our Intrusion and Alarm segment. The first half of fiscal 2026 delivered strong financial results and we are confident in our ability to continue the momentum through the end of the fiscal 2026 and to execute on our plan to provide enhanced shareholder value and growth. In addition to our financial performance, we are pleased with the recent addition of our Chief Revenue Officer, Joe Paczynski. With his 35-plus years as a business development executive, he will provide the company with strong leadership, vision and the ability to help NAPCO achieve even stronger revenue growth. Now I'll turn the call over to our President and Chief Operating Officer, Kevin Buchel, who will comment on some operational and financial performance highlights. Following Kevin's remarks, our CFO, Andy Vuono, will go through the financials in more detail, and then I will return to delve deeper into our strategies and our market outlook. Kevin, the floor is yours.
Kevin Buchel: Thank you, Dick. Good morning, everyone. I'm going to take a few minutes to highlight our performance for the second quarter, which marked another strong period of execution for the company. We are extremely pleased with the results this quarter, which reflect disciplined execution, strong demand across our portfolio and the continued focus of our teams on driving profitable growth. Total revenue for the quarter was $48.2 million, and that represents a Q2 record, and it's an increase of 12.2% compared to last year's second quarter. This performance underscores the momentum we are seeing across our business. Within that total, equipment revenue was $24.3 million, and that's up 12% year-over-year. We're particularly pleased with this result as it demonstrates the continued strength and durability of our distributor and dealer relationships as well as the impact of the price increases implemented at the end of fiscal 2025, which are contributing as expected. Equipment gross margin continued to improve, reaching 28%, and that compares to 24% in the prior year and 26% from the previous quarter. This improvement reflects ongoing pricing discipline, operational efficiency and favorable product mix, and we are very satisfied with the progress we are making. Recurring revenue continued its strong performance, growing 12.5% over last year's Q2 and maintaining a strong gross margin of 90.2%. We're very encouraged by the consistency and the quality of this revenue stream with StarLink commercial fire radios, again, representing a significant portion of the mix. We also saw continued momentum in our recurring revenue base with the prospective annual run rate increasing to $99 million, and that's based on January 2026 recurring revenue. And that represents an increase of approximately $4 million from the $95 million run rate we reported last quarter. And we are pleased with this steady progress we are making in building long-term high-margin revenue. From a profitability standpoint, operating income for the Q2 increased 32% year-over-year to $14.8 million. Net income increased 29% to $13.5 million, and that represents 28% of revenue for the quarter. Adjusted EBITDA increased 26% to $15.3 million, and that resulted in an EBITDA margin of 32%. These results demonstrate strong operating leverage, and we are pleased with the level of profitability achieved this quarter. Our balance sheet remains a significant strength. Cash and marketable securities continued to grow and totaled $115 million as of December 31, 2025, and that gives us substantial flexibility to continue investing in the business while also returning capital to shareholders. Given our strong financial performance and cash position, our Board approved another increase to our quarterly dividend raising it to $0.15 per share, which represents a 7% increase. This decision reflects our confidence in the business and our commitment to delivering shareholder value. Overall, this was another outstanding quarter. We are very pleased with our performance through the first 6 months of fiscal 2026. And while there is still more work to do, we believe the company is well positioned to continue executing at a high level. With that, I will turn the call over to our CFO, Andy Vuono, for a deeper look at the financials. Andy?
Andrew Vuono: Thank you, Kevin, and good morning, everyone. Net revenue for the quarter increased 12.2% to $48.2 million as compared to $42.9 million for the same period a year ago. Net revenue for the 6 months ended December 31, 2025, increased 12% to $97.3 million as compared to $86.9 million for the same period a year ago. Recurring monthly service revenue continued its growth, increasing 12.5% in Q2 to $23.8 million as compared to $21.2 million for the same period last year. Recurring monthly service revenue for the 6 months ended December 2025 increased 11.8% to $47.3 million as compared to $42.3 million last year. Our recurring service revenue now has a prospective annual run rate of approximately $99 million based on January 2026 recurring service revenues, and that compares to $95 million based on October 2025 recurring service revenues, which we reported back in November. The increase in net service revenue was due to increase in the number of our cellular radio communication devices activated during the period. We expect radio sales to continue to be a key contributor to our overall equipment sales, which leads to continued growth of our highly profitable recurring service revenue. Equipment revenue for the quarter increased 12% to $24.3 million compared to $21.7 million last year. The increase in net equipment revenue was primarily attributable to the impact of pricing increases and increased volume in our door locking product lines. revenue for the 6 months increased 12.1% to $50.1 million as compared to $44.6 million for the same period last year. The increase was primarily due to increased volume of our door locking products as well as increased prices. Gross profit for the 3 months ended December 2025 increased 15.3% to $28.2 million with a gross margin of 58.6% as compared to $24.5 million with a gross margin of 57% for the same period last year. The gross profit for the 6 months increased 14.2% to $56.1 million with a gross margin of 57.6% as compared to $49.1 million with a gross margin of 56.5% a year ago. Gross profit for recurring service revenue for the quarter increased 11.1% to $21.5 million with a gross margin of 90.2% as compared to $19.4 million with a gross margin of 91.3% last year. And gross profit for recurring service revenue for the 6 months increased 10.6% to $42.7 million with a gross margin of 90.3% as compared to $38.6 million with a gross margin of 91.2% last year. Gross profit from equipment revenues in Q2 increased 3.2% to $6.7 million with a gross margin of 27.6% as compared to $5.1 million with a gross margin of 23.6% last year. Gross profit for equipment revenues for the 6 months increased 27.4% to $13.4 million with a gross margin of 26.8% as compared to $10.5 million with a gross margin of 23.6% for the same period last year. The 160 basis point increase in overall gross margin is due to the continued highly profitable recurring revenue and overall improved margins on equipment revenue. The decrease in gross profit margin from service for both the 3 and 6 months period ended December 2025 was a result of a onetime credits reducing royalty expense in the comparative periods and marginal increases in data costs to run our network operations center. The increase in gross profit and gross margin from equipment revenue for both the 3 and 6 months ended December 2025 is attributable to improved manufacturing overhead absorption due to increased production, the impact of price increases in addition to lower sales discounting. Research and development costs for the quarter increased 11.8% to $3.5 million or 7.2% of revenue as compared to $3.1 million or 7.2% of revenue for the same period a year ago. R&D costs for the 6 months ended December 2025 increased 8.9% to $6.7 million or 6.9% of revenue, and that compares to $6.2 million or 7.1% of revenue for the same period a year ago. The increase in research and development for the 3 and 6 months is primarily the result of increased labor and benefit costs related to expanding our engineering staff. Selling, general and administrative expenses for the quarter decreased 1.9% to $10 million or 20.8% of revenue as compared to $10.2 million or 23.8% of revenue for the same period last year. SG&A expense for the 6 months ended December '25 increased 5.3% to $21 million or 21.5% of revenue for that, and that compares to $19.9 million or 22.9% of revenue for the same period last year. The decrease in SG&A cost for the quarter was primarily due to decreases in legal fees, which are net of insurance reimbursements and accounting fees offset by increases in wages and bonus compensation and sales commissions. The increase in SG&A costs for the 6 months ended December 2025 was primarily due to increases in legal fees, commissions and wages and bonus compensation, offset by decreases in accounting fees and stock-based compensation. Operating income for the quarter increased 32.1% to $14.8 million as compared to $11.2 million for the same period last year. Operating income for the 6 months ended December 2025 increased 23.3% to $28.4 million as compared to $23 million for the same period last year. Interest income for the quarter decreased 4.7% to $884,000 as compared to $921,000 for last year. And for the 6 months, interest income decreased 6.9% to $1.7 million compared to $1.9 million last year. The decrease for both the 3- and 6-month periods was primarily due to lower interest rate yields on our cash and short-term investments. The provision for income taxes for the 3 months increased 37.6% to $2.2 million with an effective tax rate of 14.2% as compared to $1.6 million with an effective tax rate of 13.4% last year. For the 6 months ended December 2025, the provision for income taxes increased 36.8% to $4.7 million with an effective tax rate of 15.5% as compared to $3.4 million with an effective tax rate of 13.7% last year. The increase in the provision for the 3 and 6 months ended 2025 was due to higher pretax income as well as a larger portion of the company's taxable income being attributable to U.S. operations and the remeasurement of certain deferred tax liabilities due to tax rate changes enacted in the One Big Beautiful Bill Act. Net income for the quarter increased 29% to $13.5 million or 28% of revenue or $0.38 per diluted share as compared to $10.5 million or 24.4% of revenue or $0.28 per diluted share for the same period last year. Net income for the 6 months increased 18.5% to $25.7 million or 26.4% of revenue or $0.72 per diluted share and compares to $21.7 million or 24.9% of revenue or $0.59 per diluted share for the same period last year. Adjusted EBITDA for the quarter increased 26% to $15.3 million or $0.43 per diluted share as compared to $12.2 million or $0.33 per diluted share for the same period a year ago and equates to an adjusted EBITDA margin of 31.9% this year compared to 28.4% last year. Adjusted EBITDA for the 6 months ended December 2025 increased 22.6% to $30.3 million or $0.84 per diluted share and compares to $24.7 million or $0.67 per diluted share for the same period last year and equates to an adjusted EBITDA margin of 31.1% this year compared to 28.4% last year. Free cash flows for the quarter increased 17.4% to $14.5 million as compared to $12.4 million for the same period a year ago and equates to a free cash flow margin of 30.1% this year compared to 28.8% last year. Free cash flows for the 6 months increased 9.5% to $26 million as compared to $23.7 million for the same period a year ago and equates to a free cash flow margin of 26.7% this year compared to 27.3% last year. Continuing on to our balance sheet. As of December 2025, the company had $115.4 million in cash and cash equivalents and marketable securities as compared to $99.2 million as of June 2025, a 16.3% increase after paying $10 million in dividends during the 6-month period. The company had no debt as of December 2025. Cash provided by operating activities for the 6 months ended December 2025 increased 4.7% to $26.7 million compared to $25.5 million last year. And working capital, which is our current assets plus current liabilities, was $158.8 million as of December 2025 as compared to working capital of $138.4 million at June 2025. The current ratio was 8:1 at December 2025 and 6.8:1 at June 2025. Our capital expenditures for the quarter totaled $600,000 compared to $1.1 million in the same period last year and for the 6 months amounted to $800,000 compared to $1.8 million last year. That concludes my formal remarks. I would like to return the call back to Dick.
Richard Soloway: Thank you, Andy. As you've heard today, our second quarter and first half of fiscal 2026 reflect another period of strong execution and meaningful progress against our long-term strategy. Record Q2 revenue of $48.2 million, double-digit growth across both equipment and recurring service revenue, expanding margins and strong operating leverage all reinforce that our business model is working exactly as intended. At the core of our strategy is our recurring service revenue platform, which continues to deliver consistent high-margin growth. Recurring service revenue now represents nearly half of our total sales, supported by sustained gross margins of over 90% and our annualized run rate has reached approximately $99 million. This steady high-quality revenue stream provides predictability, strong cash generation and long-term value creation. StarLink commercial fire radios remain a key driver and have become the industry standard for commercial fire communicators with continued healthy demand across both new installations and our expanding installed base. On the equipment side, we are equally encouraged by the momentum we're seeing. Equipment revenue increased 12% over year to $24.3 million, supported by strong performance in our door locking solutions and in our intrusion and alarm product segments. Pricing actions implemented late last fiscal year are having the intended impact, contributing to improved equipment gross margins, which expanded 28% in the quarter. These results reflect disciplined pricing, operational efficiency and favorable product mix, all of which we continue to actively manage. Profitability remains a major strength of the company. Operating income, net income and adjusted EBITDA all grew at significantly faster rates than revenue, demonstrating strong operating leverage. With EBITDA margins now exceeding 30%, we are generating substantial cash flow while continuing to invest in innovation, infrastructure and growth initiatives. Our balance sheet further differentiates us. With $115 million in cash and marketable securities and no debt, we have exceptional financial flexibility. This allows us to invest organically, pursue strategic opportunities where appropriate and continue returning capital to shareholders. The Board's decision to increase the quarterly dividend to $0.15 per share reflects our confidence in the sustainability of our cash generation and our ongoing commitment to shareholder value. In addition to our strong financial performance, as I mentioned earlier, we are pleased to announce the appointment of Joseph Paczynski as Chief Revenue Officer, a newly created executive role. In this position, Joe will oversee NAPCO's revenue organization, including sales, channel strategy, pricing and go-to-market execution across the company's full product portfolio. This appointment underscores our continued focus on accelerating equipment revenue growth, expanding recurring service revenue, maximizing operating leverage and strengthening customer and dealer engagement. For more than 35 years of experience in revenue leadership and business development, Joe brings deep experience and a strong execution mindset, and we believe his leadership will further position NAPCO to capitalize on new market opportunities, deepen dealer and customer relationships and accelerate our long-term growth strategy. Operationally, our team continues to execute at a very high level. We are managing inventory tightly, investing in product development, compliance, automation and infrastructure and returning capital through dividends, all while maintaining a debt-free balance sheet. Our manufacturing facility in the Dominican Republic remains a key competitive advantage, providing cost efficiency, stable logistics and low tariff exposure compared to many competitors operating in higher tariff regions. Looking ahead, we remain optimistic about the remainder of fiscal 2026 and beyond. Demand across our product portfolio remains strong. Our recurring service revenue base continues to expand and our operating discipline remains firmly in place. We've diversified our distribution base, implementing pricing actions and continue to enhance the Starlink platform while investing in automation and technology designed to sustain growth and expand margins. One area where NAPCO continues to make a meaningful impact is school security, one of the most critical challenges of our time. We are proud to partner with school districts nationwide, providing integrated solutions that include our Trilogy and architect [locksets] and enterprise scale access control systems. These platforms are secure, scalable and aligned with strict industry standards. What truly differentiates NAPCO is our ability to integrate locking, access control and alarm technologies into a unified interoperable platform protecting students and staff every day while driving future growth. At the same time, we continue to expand recurring service revenue opportunities through innovation. A great example is our MVP cloud-based access control platform, which integrates seamlessly with our locking hardware. MVP introduces a new subscription-based revenue stream to both NAPCO and our dealers and is offered in 2 configurations: MVP Access, an enterprise-grade solution supporting unlimited users and MVP EZ, a mobile-first solution for locksmiths and smaller facilities. We believe MVP has the potential to be a game changer, extending our leadership into hosted access control and reinforcing our strategy of pairing innovative hardware with cloud-based services to drive high-margin recurring service revenue. Beyond education, our Alarm Lock and Marks hardware lines continue to gain traction in health care, retail, multi-dwelling applications and airport infrastructure upgrades. Additionally, as the transition away from legacy copper phone lines accelerates, our StarLink radios operating on AT&T, Verizon and now T-Mobile networks are well positioned to capture additional market share across millions of commercial and residential buildings. While external market and regulatory conditions remain fluid, we remain focused on what can be -- what we can control, driving innovation, executing with discipline and expanding our base of recurring service revenue. In summary, we have begun fiscal 2026 with solid momentum, a clear strategic focus and a stronger financial foundation than ever. I'm incredibly proud of our team and what it has accomplished and excited about the opportunities ahead. And I want to thank all of you for continued support and confidence in NAPCO. Our formal remarks are now concluded, and we'd like to open the call for the Q&A. Operator, please proceed.
Operator: [Operator Instructions] First, we will hear from Jeremy Hamblin at Craig-Hallum.
Jeremy Hamblin: Congrats on the strong results. I wanted to start by just getting into the dealer channel. and what inventory levels look like. You saw a really strong improvement in your gross margin, obviously, getting a little bit of benefit from the price increases that were taken last year. But wanted to just understand, it looks like you may have a little bit better inventory situation in the channel and getting that better gross margin flow-through. But I wanted to see if you could add a little bit of color on how things shape up here in calendar 2026.
Kevin Buchel: Okay. Thanks, Jeremy. So the channel is much more normalized than it was last fiscal year. when there was chaos about tariffs, when there was chaos about certain distributors not wanting to do quarter-end buys. It seems to have become stable. And one of the things we did see in Q2 was a more normal buying pattern. They would buy throughout the quarter, not wait until the very end, some distributors, not all. But what that does for us is that helps reduce the discounting that has to go on. And that's reflected somewhat in the gross margin. Gross margin was helped by a bunch of things, less discounting, price increases, mix. Locking remains strong, that gives us tremendous margins. And when you discount less and you wind up with a price increase like we've done, that bodes well. So we wound up having almost a 28% gross margin on revenue that was $24.3 million. Obviously, we want to see that revenue go much higher. And with it, we think we'll get towards our goal, which is to get the hardware margins, the equipment margins back into the 30s where it used to be and where it belongs. So that's when I said earlier, we have more work to do. That's one of the things we're working on. We think margins could go even higher, and we think they will as this fiscal year progresses.
Jeremy Hamblin: Great color. Since we -- you mentioned the strength in the locking segment. I wanted to see if we could dive a little bit deeper into the MVP access platform. I know that you've been rolling that out, looked like pretty good response at ISC East in November. But can you give us a sense for what the uptake is on this product? And when you think that it could contribute meaningfully to your recurring service revenues? Is that something that's kind of a second half of calendar '26? Or at what point do you think that, that might be contributing to the run rate?
Kevin Buchel: The first -- we knew the first half of our fiscal year was not going to be a major contributor from MVP. But we are very encouraged. We are getting recurring from it. It's not something we have to disclose. It's more of a second half of calendar '26 story. So maybe by Qs 1 and 2 of fiscal '27, we'll start to see more meaningful contributions. But what we are pleased with is the reception. And you were at ISC East, you saw a lot of dealers all over our booth, and we're still seeing a lot more of that interest. It takes time, new concept new concept for locking dealers, but they're getting love it because now they're going to get recurring revenue like the alarm people get. And so they're going to have a business that has equity, and that's what the alarm guys have. So locking guys are next. The opportunity is tremendous. There's much -- many more doors than there are buildings, just got to get there. So we're working hard to get to that point. We're going to show it again at ISC West in March, end of March. And then I think by calendar -- by the end of -- beginning of fiscal 2027, second half of calendar '26, we should start to see some meaningful contributions.
Jeremy Hamblin: Last one for me. Just wanted to check to see, obviously, the magnitude of kind of the storm activity has had some impact on -- certainly on construction work and completion of getting some businesses kind of open here in Q1. I wanted to see if it's had any impact at all from a supply chain perspective or otherwise for your business.
Kevin Buchel: No. No other than our containers, which we get from the Dominican every week, takes about 6 days on the water, other than maybe taking 7 days instead of 6, something like that. Other than that, we've seen no impact. It's -- we just keep rolling along, no problems.
Operator: Next question will be from Jim Ricchiuti at Needham & Co.
James Ricchiuti: Just on the hardware growth that you saw, it looks like you saw growth in both areas of the business, and you talked about price. Going forward, how much an additional benefit could we see from the pricing actions in Q3 versus Q2? In other words, has the bulk of the pricing benefit been realized? Or is there still more to come in the current quarter versus the December quarter?
Kevin Buchel: Andy, can you take that one?
Andrew Vuono: Sure. So product pricing has been adjusted throughout the portfolio. So that was effective the beginning of Q2. So there's no additional price increases other than some one-offs expected through the end of the year. So that should be fully baked in for the year as far as our price increases go. We did not see the full lift in Q1, I think we discussed. And we had maybe a few trailing things in Q2 on some locking back orders. But going into Q3 and Q4, all the pricing has been fully adjusted and is baked in for the balance of the period.
James Ricchiuti: Got it. Just on the strength that you saw in the door locking device business, was there -- how would you characterize the larger projects business? I know that can be lumpy at times, and it does create some year-over-year variability. But I was just wondering what are you seeing in that area of the business?
Kevin Buchel: Bunch of projects, school projects, other type projects. nothing that's going to make a comp difficult for next year at $24.3 million, that's not a difficult comp for next year. So we just keep working. I wish we could talk to you about some of these projects because we're not allowed to, especially with schools, they don't want to be known what's going on. But we continue to have projects as a key part of this. But no difficult comps, no difficult comps really coming up in the balance of this fiscal year either, which bodes well for our comparisons as we get to Q3 and Q4.
Operator: [Operator Instructions] And next, we will hear from Peter Costa at Mizuho.
Peter Costa: Could you just provide an update around the ADI partnership? How is penetration at the end dealer level going? And are you still getting incremental new introductions from ADI? Could you just provide an update around the ADI partnership? How is penetration at the end dealer level going? And are you still getting incremental new introductions from ADI?
Kevin Buchel: ADI relationship has been great, probably a couple of years now. And we've talked about how they've made introductions to some of the largest dealers in the world, and they continue to do that. And it's one of the benefits of having them -- having the relationship with them because they have entree to certain dealers who only, for whatever reason, even though they're large, they like to go through distribution. And so ADI continues to help us every day with that. And ADI stats are very good. ADI buys a lot of fire radios. We want to get ADI to the point where they're a locking contributor also. We're not seeing that part. And we want that. Can you imagine how they do so well with us on the intrusion side. We can get them really cooking on the locking, that would be tremendous. So we're working hard on that. So we're not just sitting back and saying everything is great with ADI. There's more work to be done with them as well.
Richard Soloway: What's interesting -- this is Dick Soloway. It's interesting about the ADI relationship as we get introduced to large dealers, both national and international dealers, but we make products for all North America. We have an engineering department that's been expanded to 80 engineers. We do everything internally, hardware development, software, all kinds of app work. So the special projects that we do for the large installation companies are very important because it works into their automation systems, and we give real hands on service. We do all of our development in Amityville that is for these type of specialized accounts, and it ties us closer together. And we bring a lot of innovation. They bring a lot of ideas. So it's a great collaboration with these introductions, and it makes for solid growth, and we're going to see a lot more of this in the future.
Peter Costa: And then maybe just one more on pricing. Is there any need for incremental actions in the second half just to offset any raw material pressures? And were you definitively price/cost positive in the quarter?
Kevin Buchel: I don't believe that we have any need to do that right, Andy?
Andrew Vuono: Yes. No, we're monitoring our component costs continually. And if we have to make any adjustments in pricing, we will, but we are not seeing any incremental inflation in our component costs, and we were -- our pricing increases were positive as it pertains to the tariff increases and any incremental cost out of components through the 6 months.
Operator: [Operator Instructions] Next question will be from Lance Vitanza at TD Cowen.
Lance Vitanza: I wanted to start with a question regarding the schools and door locking remote access. And I understand that you can't name names, but could you give us a sense for what the sales funnel and the pipeline is looking like? And I guess, specifically, is NAPCO in the running for any new projects that you expect will be awarded over the back half of the year? And if you do get awards, how long of a lag before you start to generate revenue from those awards?
Kevin Buchel: There's projects all the time, and they're different. Some projects, the revenue stream could start right away. Some are custom type projects where our engineers have to develop certain things that these projects require. And some projects go over a number of years. So they come in all sizes and shapes. And there's no real way to put it in any specific way. They're contributors, and we need them, and we're getting them. And our sales team is going out working with integrators to get more of them. Big area for us. We don't really disclose what they are. If it's a big school win, I would disclose it if they let us, but they don't typically. So just know that we're working hard on it. There's more of them. They will continue, and they're probably spread over a number of years.
Lance Vitanza: Okay. Great. And then just on the equipment side, you had called out door locking sales in the press release and elsewhere, but it looks like radio sales had nice growth year-over-year in the quarter as well. Could you talk about the outlook there, in particular, as it feeds into recurring service revenue growth that you're expecting over the back half of the fiscal year?
Kevin Buchel: Well, we were encouraged by the growth rate of the recurring year-over-year. We were encouraged by the run rate, up $4 million. There's a lot of buildings out there that still has to convert away from copper. We talk about this. we probably have about 1 million active radios. There's probably several more million buildings to go by 2029, which is kind of the date that the carriers have put as the -- we're not supporting it anymore after that date. So there's going to be a lot of action between now and then. We have a lot of relationships with very large dealers now that we didn't have several years back. We basically built the almost $100 million run rate that we have with a lot of small guys, guys you never heard of. Now -- and we love those guys, believe me, they like pennies add up to dollars. These are important guys. But now we're dealing with big guys, too. And that could bode well over the next 4, 5 years as the conversion continues. And then, of course, we put our StarLink radios in our products. So for new work, we make fire panels, control panels with radios in it. So we expect this -- this is the new norm. We expect this to go on forever. So we're very encouraged by what we saw this quarter. We think it will be very good for the balance of fiscal '26 and beyond.
Lance Vitanza: Just one last one for me. And just one last one for me. On the balance sheet, the cash continues to build up to $115 million of cash and marketable securities now. I'm just wondering, is there sort of like a point at which you say, hey, maybe we don't want to be walking around with this much cash and we decide either to pull the trigger on an acquisition or maybe there's a special dividend or some sort of other return of capital. I'm just wondering how you're thinking about capital allocation in the context of the increasing cash build.
Andrew Vuono: I would say all of the that you just mentioned is in our thought process. When we do an acquisition, we want to make sure it fits our criteria. being accretive from day 1. It's a product that our dealers install all the time and that the company is buttoned up enough so that doesn't cause disruption to our existing business, but it enhances our business. And if the company is manufacturing products, which are in foreign lands, because of the Dominican operation, we can manufacture it in our factory because we're completely vertically integrated there also from the components that come in to the finished product that goes out and then we get it in a week. So there are opportunities. But we don't want to do anything which could cause stress on our operation now. And there are opportunities out there. So we're looking at that very, very carefully. And all the other considerations of increasing our dividend and other things to pay back to shareholders is also on the table. So it's a position that we're very carefully contemplating about on how to do this because we expect the recurring revenue to keep on growing very, very strongly. And now we're piling on more recurring revenue with our locking product line. which is going to be -- it should be a fantastic addition because there are so many doors and there's so much monitoring of those doors that institutions want to do on a real-time basis. So -- and it's an equity builder for the access and the locksmith trade, which they don't have now. So we're very innovative and we're going to keep it up.
Operator: [Operator Instructions] And at this time, it appears we have no other questions registered. I would like to turn the conference back over to Richard Soloway, CEO.
Richard Soloway: Thank you, everyone, for participating in today's conference call. As always, should you have any further questions, feel free to call Fran, Kevin, Andy and myself for further information. We thank you for your interest and support, and we look forward to speaking to you all again in a few months to discuss NAPCO's fiscal Q3 results. Bye-bye. Have a wonderful day and a great week.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.